Operator: Good morning. My name is Jennifer and I will be your conference operator today. At this time, I would like to welcome everyone to the BlueLinx Fourth Quarter 2014 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And Ms. Caroline Lowden, you may begin your conference.
Caroline Lowden: Thank you, Jennifer, and good morning everyone. Thank you for joining us for the BlueLinx fourth quarter 2014 earnings conference call. This call is being webcast on the company's Web site at www.bluelinxco.com. The earnings release and presentation slides for this call can be found in the Investor Relations section of the company's Web site. Joining us on the call today are Mitch Lewis, CEO; and Susan O'Farrell, CFO. Before I turn the call over to Mitch to discuss our current results, I want to remind you that this presentation includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 including statements about our future operations and financial performance. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from those provided, including, but not limited to those identified in our press release and discussed in our filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date of this presentation. And we undertake no obligation to revise them in light of new information. Today's presentation includes references to non-GAAP financial measures the reconciliation of these to the most comparable GAAP measure is included as an appendix and is posted on our Web site at bluelinxco.com. With that, I'll turn the call over to Mitch.
Mitch Lewis: Thanks Caroline, and good morning. I would like to talk briefly about the highlights of our fourth quarter and what we are currently seeing in our markets and then I will turn it over to Susan, who will walk you through our financials in more detail. Our fourth quarter was another solid quarter and which we continue to enjoy momentum compared to our prior year performance. This now makes six quarters in a row where we have outperformed our prior year adjusted EBITDA. Our adjusted EBITDA in Q4 of $1.9 million is a $2.9 million improvement from the fourth quarter in 2013, but more importantly it's the first time we have had positive adjusted EBITDA in the fourth quarter since 2006. Our full year performance of $24.6 million in adjusted EBITDA was also a nice improvement. It's $23.3 million more than 2013 and the best annual adjusted EBITDA we had at BlueLinx since seven years. There are many areas that we have been working on that have contributed to this improvement, but I will let Susan discuss these in more detail. While our adjusted EBITDA improved; our revenue for the quarter declined by 3% from 2013 levels on a comparable basis. You may recall that we had an extra fiscal week of sales in 2013 with a 14-week fourth quarter, which impacted our comparative sales by approximately $20 million. We are also a little surprised by the scale of the decline in revenue during the winter holidays at the end of December. It appears that the timing of the holidays effectively shortened our last two fiscal weeks to only 2.5 work days each week. Even with the decline, we experienced at the end of the year, during the fourth quarter when you account for the additional week in 2013, our specialty product sales were relatively flat compared to 2013. We did continue to see a degradation in our structural products during the quarter which approximated 5.5% on a comparative basis. I wanted to reiterate again that our goal is not to focus on the sales of our specialty products to the determent of our structural products. We are committed to being a full provider of building products to our customer base and this means that we are also committed to being an excellent supplier of structural products as well. In 2015, our strategy is not to change the relative percentage of our structural and specialty product sales rather we will continue to focus on growing our market share with our existing product portfolio that adds value to our customer base. Our sales in January this year were consistent with this approach as we enjoyed similar levels of year-over-year growth in both our product segments. It now appears that our end markets will help us in 2015. Although, the weather over the last couple of weeks across the U.S. has been challenging, there definitely appears to be a higher level of confidence in the market than a year ago. Our customers and suppliers generally feel that a continued improvement in single-family housing starts is now likely. While we are not confident that single-family housing starts will enjoy the 20-plus-percent increase a few economists are predicting, we do expect at least a modest improvement in 2015. And January was a good reflection of this optimism and we expect this trend to continue. We also remained focus on establishing a solid capital base for the company for the future. Yesterday, we announced the extension of our working capital facility. Susan will discuss the details of this extension. But, I would like to thank our bank group who have consistently supported BlueLinx and again demonstrated the confidence they have in partnering with us as we continue to improve our performance in the years ahead. Our logistics and operational emphasis also continues go gain momentum. We are highly focused on increasing efficiency throughout our supply chain. And we have begun the year with a 3% reduction in our logistics costs even as our sales have increased. We have specific measurable objectives to improve several areas of our operational performance in 2015 and we are making good progress early in the year. One area where our logistics team has been opportunistic is in connection with the decline in oil prices. We view the recent oil decline has a positive event to the economy in general as well as the BlueLinx. The increased cash to consumers and the resultant improvement in consumer sentiment should positively impact the general economy. And ultimately, we believe it will also positively influence remodeling activity in the U.S. as well. Our logistics team reacted to the oil decline and we made the decision to lock-in pricing for approximately 90% of our forecasted fuel purchases for 2015. We anticipate this decision will save BlueLinx over $2.5 million in 2015 compared to our 2014 fuel costs. We are also making good progress on our strategy to drive our organization toward a local market and customer orientation. In addition to recent training for our local market leaders, we have established local strategic initiatives and targets intended to effectively grow our business through local share gain. We have also initiated a more collaborative approach with our supply base. We understand that it is in our best interest to help improve their performance in our markets as we work together to grow their respective brands and market positions. I now have one-year under my belt as CEO of BlueLinx and I think we have made good progress in the last 12 months. We have made several key personnel moves at the executive level of the company. We have changed the organizational structure to ensure an adequate focus on the opportunities we have to improve our operational investments, efficiency and service. We have embarked on a new strategic emphasis to focus our business at the local level enabling us to be closer to our customers and markets while we make decisions locally where the expertise lies. Our emphasis in understanding our contribution by markets, products and customers is leading to good decisions regarding which opportunities to pursue within the organization. And the improvement in our results by over $23 million from last year is a good indication that these initiatives are beginning to add value. But as I have said before, we are just getting started. The cultural change we have begun takes time to fully execute within an organization. In addition, we will continue our relentless focus on operational improvement while we garner back market share we have lost over the last several years. At the same time, we are exploring a greater emphasis on attractive markets to help drive our organic sales growth as well. It is very clear that opportunities are abound at BlueLinx. I'd like to personally thank our associates for their collective efforts which enabled us to enjoy the turnaround we experienced in 2014. Our team has moved quickly to realize opportunities to drive improvement at our company, but the organization understands that 2014 is now over, it's the past. So we are moving ahead and focusing on the future. And we look forward to sharing with you more positive results from these efforts in the months ahead. Now, I would like to turn it over to Susan, who will discuss our performance with you in more detail.
Susan O: Thank you, Mitch, and good morning everyone. It's a pleasure to speak to you today about business as well as our fourth quarter and full year results. First, I would like to comment on the status of our capital structure. As Mitch mentioned we are pleased to share with you that we successfully extended our U.S. revolving credit facility of $447.5 million until April 2017 along with our Tranche A $20 million loan facility until June 2015. This demonstrates the strong support of our lending partners and their continued confidence and the improvements we have made in our business. We had approximately $60 million in excess availability under our asset-backed revolving credit facilities at the quarter-end. That was approximately $14 million above December 2013. As we work through establishing a strong foundational and long-term capital structure refinancing our existing mortgage is still a key part of that strategy. The value of our real estate as appraised in 2006 was approximately $322 million. Over the past eight years, we have since sold 10 properties which collectively have sold for almost 15% over the 2006 appraised value. Our mortgage balance as of January 3, 2015 of approximately $172 million including our prepaid principle represents a significant amount of value still available to unlock. We continue to evaluate various scenarios for ultimately replacing our real estate financing and look forward to sharing more with you on this status our mortgage in the future. As Mitch already highlighted, we are pleased with the continued progress of our business. Our fourth quarter continuing our record of success over the past year; we delivered more EBITDA in 2014 than we did in any years since the housing downturn began in 2007. This is a testament to the hard work of our associates and bodes well for our continued progress in the future. Moving to Slide 11, we will take a look at our revenues and profitability for the quarter and for the year. Because the fourth quarter of 2013 had the 53rd week, we will look at the components of our revenue on a comparable net sales basis. Revenue on a comparable basis for the fourth quarter ended January 3, 2015 was down 3% or $12.9 million compared to the fourth quarter of 2013 of $467.1 million. The decrease over the comparable fourth quarter 2013 was due to lower volumes in our lumber and rebar categories. Revenue on a comparable same-center basis for the full year of 2014 was down 3.3% compared to $2.4702 billion in 2013. On a comparable basis, gross profit for the fiscal fourth quarter was $49.8 million compared to $52.3 million in the fourth quarter of 2013. Gross margin for the fiscal fourth quarter 2014 was 11.0% down from 11.2% in the fiscal fourth quarter 2013. This decline was primarily due to a decrease in the lumber market compared to the year ago period. Even with the commodity price changes, we are pleased to see progress against our margin enhancement activities in our specialty categories with an increase of 20 basis points from the previous year. Fiscal 2014 gross margin was up approximately 100 basis points to 11.6 versus fiscal 2013 gross margin of 10.6. The structural and specialty products showed improved gross margin for the year, the structural gross margin is up 109 basis points and specialty gross margins up 50 basis points from fiscal 2013. On Slide 12, our operating expenses in the fourth quarter were $50.4 million compared to $58.1 million at the same period a year ago. The expenses for fiscal 2014 were down $34.3 million or 13.7% at $215.5 million compared to $249.8 million in fiscal 2013. The improvement in operating expenses year-over-year is due to significantly lower restructuring costs over a hundred fewer headcounts less payroll related costs and additional cost efficiencies in the logistics area of 2014. We continue to invest in our associates through our training initiatives and the result we had the best sales per headcount since 2007. Further, we share with you previously the addition of four Regional Directors of Logistics and we are beginning to see the impact in the [stating] [ph] within our business. Our third-party freight costs were down approximately $4 million in 2014. Additionally, our operations team saved approximately $250,000 in 2014 specifically from initiatives to lower our rail and truck costs including renegotiation rates and auditing historical invoices. We anticipate an additional $250,000 in savings in 2015 from these activities. Continuing on Slide 13, when you look at margin improvement and expense control for 2014, we were able to drive adjusted EBITDA up by $23.3 million to $24.6 million that's an increase of $1.3 million in adjusted EBITDA from fiscal 2013. Adjusted EBITDA for the 2014 fiscal fourth quarter was $1.9 million from an adjusted EBITDA loss of $1 million from the same period a year ago. On a comparable basis, Q4 2014 adjusted EBITDA was up $1.8 million from Q4 2013 adjusted EBITDA of $0.1 million excluding the 53rd week. You will see for the quarter, we had a net loss of $7.6 million or $0.09 per diluted share for the fiscal fourth quarter 2014. Our net loss in Q4 2013 was $2.5 million, but included $8 million non-cash tax benefit due to the valuation of the company's pension plan. Without this reported gain, the net loss for 2013 would have been $2.9 million lower than 2014. Further, our net loss for fiscal 2014 was $13.9 million or an improvement of $26.7 million from our fiscal 2013 net loss of $40.6 million. Turning to cash flow on Slide 14, our cash used during the year was $20.3 million and improvement of $27.6 million compared to 2013 usage of $39.9 million. The decrease in cash used by operating activity narrowly reflects our improved earnings over the year compared to 2013. As a reminder, our capital expenditures are relatively small $3 million for 2014 primarily these investments to tractors, trailers as well as enabling work force technology solutions. Specifically, the tractor capital investment is actually close to cash flow neutral as we were able to remove older equipments from our fleet that are maintenance intensive as well as we enjoyed the better miles per gallon from the new tractors. As we turn to Slide 15, our cash cycle days for the fiscal fourth quarter of 2014 totaled 65 days. Period ended working capital was down $24 million from the end of the fourth quarter 2013. As I look back on the year, I'm encouraged by the traction on our strategic initiatives as I translate to our bottom-line. That concludes my remarks. So with that Jennifer, we would like to open up the lines to any questions we might have at this time.
Farrell: Thank you, Mitch, and good morning everyone. It's a pleasure to speak to you today about business as well as our fourth quarter and full year results. First, I would like to comment on the status of our capital structure. As Mitch mentioned we are pleased to share with you that we successfully extended our U.S. revolving credit facility of $447.5 million until April 2017 along with our Tranche A $20 million loan facility until June 2015. This demonstrates the strong support of our lending partners and their continued confidence and the improvements we have made in our business. We had approximately $60 million in excess availability under our asset-backed revolving credit facilities at the quarter-end. That was approximately $14 million above December 2013. As we work through establishing a strong foundational and long-term capital structure refinancing our existing mortgage is still a key part of that strategy. The value of our real estate as appraised in 2006 was approximately $322 million. Over the past eight years, we have since sold 10 properties which collectively have sold for almost 15% over the 2006 appraised value. Our mortgage balance as of January 3, 2015 of approximately $172 million including our prepaid principle represents a significant amount of value still available to unlock. We continue to evaluate various scenarios for ultimately replacing our real estate financing and look forward to sharing more with you on this status our mortgage in the future. As Mitch already highlighted, we are pleased with the continued progress of our business. Our fourth quarter continuing our record of success over the past year; we delivered more EBITDA in 2014 than we did in any years since the housing downturn began in 2007. This is a testament to the hard work of our associates and bodes well for our continued progress in the future. Moving to Slide 11, we will take a look at our revenues and profitability for the quarter and for the year. Because the fourth quarter of 2013 had the 53rd week, we will look at the components of our revenue on a comparable net sales basis. Revenue on a comparable basis for the fourth quarter ended January 3, 2015 was down 3% or $12.9 million compared to the fourth quarter of 2013 of $467.1 million. The decrease over the comparable fourth quarter 2013 was due to lower volumes in our lumber and rebar categories. Revenue on a comparable same-center basis for the full year of 2014 was down 3.3% compared to $2.4702 billion in 2013. On a comparable basis, gross profit for the fiscal fourth quarter was $49.8 million compared to $52.3 million in the fourth quarter of 2013. Gross margin for the fiscal fourth quarter 2014 was 11.0% down from 11.2% in the fiscal fourth quarter 2013. This decline was primarily due to a decrease in the lumber market compared to the year ago period. Even with the commodity price changes, we are pleased to see progress against our margin enhancement activities in our specialty categories with an increase of 20 basis points from the previous year. Fiscal 2014 gross margin was up approximately 100 basis points to 11.6 versus fiscal 2013 gross margin of 10.6. The structural and specialty products showed improved gross margin for the year, the structural gross margin is up 109 basis points and specialty gross margins up 50 basis points from fiscal 2013. On Slide 12, our operating expenses in the fourth quarter were $50.4 million compared to $58.1 million at the same period a year ago. The expenses for fiscal 2014 were down $34.3 million or 13.7% at $215.5 million compared to $249.8 million in fiscal 2013. The improvement in operating expenses year-over-year is due to significantly lower restructuring costs over a hundred fewer headcounts less payroll related costs and additional cost efficiencies in the logistics area of 2014. We continue to invest in our associates through our training initiatives and the result we had the best sales per headcount since 2007. Further, we share with you previously the addition of four Regional Directors of Logistics and we are beginning to see the impact in the [stating] [ph] within our business. Our third-party freight costs were down approximately $4 million in 2014. Additionally, our operations team saved approximately $250,000 in 2014 specifically from initiatives to lower our rail and truck costs including renegotiation rates and auditing historical invoices. We anticipate an additional $250,000 in savings in 2015 from these activities. Continuing on Slide 13, when you look at margin improvement and expense control for 2014, we were able to drive adjusted EBITDA up by $23.3 million to $24.6 million that's an increase of $1.3 million in adjusted EBITDA from fiscal 2013. Adjusted EBITDA for the 2014 fiscal fourth quarter was $1.9 million from an adjusted EBITDA loss of $1 million from the same period a year ago. On a comparable basis, Q4 2014 adjusted EBITDA was up $1.8 million from Q4 2013 adjusted EBITDA of $0.1 million excluding the 53rd week. You will see for the quarter, we had a net loss of $7.6 million or $0.09 per diluted share for the fiscal fourth quarter 2014. Our net loss in Q4 2013 was $2.5 million, but included $8 million non-cash tax benefit due to the valuation of the company's pension plan. Without this reported gain, the net loss for 2013 would have been $2.9 million lower than 2014. Further, our net loss for fiscal 2014 was $13.9 million or an improvement of $26.7 million from our fiscal 2013 net loss of $40.6 million. Turning to cash flow on Slide 14, our cash used during the year was $20.3 million and improvement of $27.6 million compared to 2013 usage of $39.9 million. The decrease in cash used by operating activity narrowly reflects our improved earnings over the year compared to 2013. As a reminder, our capital expenditures are relatively small $3 million for 2014 primarily these investments to tractors, trailers as well as enabling work force technology solutions. Specifically, the tractor capital investment is actually close to cash flow neutral as we were able to remove older equipments from our fleet that are maintenance intensive as well as we enjoyed the better miles per gallon from the new tractors. As we turn to Slide 15, our cash cycle days for the fiscal fourth quarter of 2014 totaled 65 days. Period ended working capital was down $24 million from the end of the fourth quarter 2013. As I look back on the year, I'm encouraged by the traction on our strategic initiatives as I translate to our bottom-line. That concludes my remarks. So with that Jennifer, we would like to open up the lines to any questions we might have at this time.
Operator: [Operator Instructions] And our first question comes from the line of Tristan Thomas with Sidoti.
Tristan Thomas: Hi. How is everyone?
Mitch Lewis: Nice. Thanks. Good morning.
A - Susan O: Good morning.
Farrell: Good morning.
Tristan Thomas: Couple of questions. First, regarding the decline in structural products, was that simply you guys lost and [we do] [ph] sales through holidays, or where you maybe declining some sales in each margin requirements and maybe just provide a little more color in that?
Mitch Lewis: Yes, sure. I mean some of it as I alluded to was in the last couple of weeks where holidays fell on a Thursday, so we effectively lost the back-end of the day, on Wednesday, Thursday and Friday, which we really didn't anticipate and obviously did not see in 2013. We continued to do as you know in 2013 we had a strong emphasis early to move a lot of structural products build-up inventory in that regard and then had to move out of that position. So there is an element there, but at the same time Tristan, it's a reflection of change in the organization to focus more on generating profitable sales irrespective of what the product categories are. And so there is an emphasis which we are now starting to see of selling all of our products that would value-add to the customer. So we are feeling good about what we saw in the fourth quarter and not being a continuing cycle for the company going forward.
Tristan Thomas: Okay. Are you seeing maybe any tangible results and trying to really empower your General Managers trying to get close to the local markets, I mean is that really taken hold or is that something that's going to play a little more in 2015?
Mitch Lewis: No. We are already starting to see results for that I would – when I think about specific examples, they feel more like early in the year events. Maybe we had competitive situations where the General Managers were quickly and we are able to either garner this year or protect the existing customers where I think in the past it might have been unworldly with the structure that we had. So I think we are starting to see it now, I think the [indiscernible] as I mentioned when you make a fundamental cultural shift like we are making in the company, it does take time. But we are now starting to see the benefits of that. I would not say that there were a lot of EBITDA benefit or bottom line benefit in the fourth quarter of last year. But, we are certainly starting to see that now.
Tristan Thomas: Okay. Just regarding the weather, I mean is that going to have a meaningful impact on your first quarter 2015 results or you can't straight it enough in regions that have may affected by all of the snow that maybe it's just going to be a slight hiccup?
Mitch Lewis: Yes. So weather is always interesting because you don't really know through the quarter how it ultimately impacts you. Generally and obviously hurts when you have the kind of weather particularly in New England area that we had. But then it ultimately tends to drive demand. So the question often is when the weather breaks. From a competitive standpoint, everything is down to the last year, at this time it was worse across the country we have experienced so far this year. I mean obviously, pockets of the country are different. But on a consolidated basis last year was more problematic from a weather perspective. So that's – I know that's waffling answer. I think the bottom-line is, as I mentioned we are out of the gates and we feel good about that from a revenue standpoint in January. And our expectations are that we are going to continue to do well this year. But, where it actually falls in the next 30 to 60 days, it's hard to tell at this point.
Tristan Thomas: Okay. Just one final question, just a remainder for myself, if you do unlock value in the mortgage that's going to be used to pay down the revolver, correct?
A - Susan O: Absolutely, Tristan.
Farrell: Absolutely, Tristan.
Tristan Thomas: Okay. Thank you guys.
Mitch Lewis: Thank you.
Operator: Your next question comes from the line of Alan Weber with Robotti & Company.
Alan Weber: Good morning. The first question was, when you talked about the real estate, I missed what you said the appraised value was?
A - Susan O: So in 2006, we had appraisals done and since then we have actually sold 10 properties. So if you take the pro rata portion, the remaining, it's about $322 million would be the appraised value for 2006.
Farrell: So in 2006, we had appraisals done and since then we have actually sold 10 properties. So if you take the pro rata portion, the remaining, it's about $322 million would be the appraised value for 2006.
Alan Weber: $322 million of the remaining properties?
A - Susan O: Yes. That's already the [pro rata] [ph] amount. And so we get comfort in that appraisal because it's certainly dated and as we look to refinance at that time, do the appraisals obviously, if we do the appraisals in advance, we can't use them. We will have to have appraisals done at that time. But that's why we looked back at what we sold as property score over the past eight years just to get comfort around where that is appraisal was. We get fresh appraisals when that's time.
Farrell: Yes. That's already the [pro rata] [ph] amount. And so we get comfort in that appraisal because it's certainly dated and as we look to refinance at that time, do the appraisals obviously, if we do the appraisals in advance, we can't use them. We will have to have appraisals done at that time. But that's why we looked back at what we sold as property score over the past eight years just to get comfort around where that is appraisal was. We get fresh appraisals when that's time.
Alan Weber: Okay, great. And then my question on, when you look at the quarter – when you look at the year, the improvement to EBITDA basically came from the reduced expenses relative with sales kind of being down or flat, just wondering what you see in 2015 in terms of revenue whether you see growth or where you really stand there and how much more reduced expenses can we see in 2015?
Mitch Lewis: So let me answer that in couple of ways. Before 2014 in addition to the expense reduction we also as you know had a gross margin improvement. So we are really focused on that. We talk about organizationally the best opportunity when we buy so much material on such a high percentage of raw cost structure is to work hard on improving margin across the company. So that's gross margin. So we will continue to of course to emphasize that and as we've talked about in the past, we're really focused on the contribution margin. So we want to make sure that we are attacking opportunities that we have that are incrementally profitable to the company. And so that's clearly an opportunity that touches not only the gross margin level, but also the operating cost as well. As it relates to 2015, we're typically reluctant to give guidance about that – about the performance of the business. I would generally say in all areas of the business is a core value for BlueLinx to continuously improve. And so we look at opportunities to be more efficient. But we certainly don't have the view that there is a wide-scale opportunities to slash SG&A at this business at all.
Alan Weber: Okay. And I've realized you don't want to give guidance, particular point do you think your EBITDA actually will exceed interest expense or cash interest?
Mitch Lewis: Well, we generally don't give guidance. But, I can tell you we understand that's very important and we're working hard to get there. And we're making good progress and we'll continue to make good progress.
Alan Weber: Okay, great. Thank you very much.
Operator: Your next question is from the line of [Mark Kaufman with Donnelley Capital] [ph].
Unidentified Analyst: Good morning. As it pertains probably to the last question, do you think you have the right footprint now going forward with your distribution centers. And just thinking about it regionally, is there any impact from the change in oil prices on negative basis that you might think off?
Mitch Lewis: Yes. So that's a great question. I would start with answering it this way from a footprint standpoint. We actually last year closed two facilities that are small facilities not a lot of revenue. And they were local regional decisions to do that. So it didn't impact our, international customer base and certainly didn't materially impact the business. We've talked about internally and I think it's important from a perspective standpoint to understand that we view we have overall market share for a product less than 10%. And so as you look at opportunities within BlueLinx there is tremendous market share gain opportunities. And now that we've embarked on this new strategy to go local, we are really reluctant to do a short-term full scale review of our landscape and footprint, when we have such low market shares because, we view the opportunities where we are, we know the opportunities of where we are tremendous and so we want to – we want to really attack that. So certainly short-term we don't view that there is going to be a whole scale review of the footprint that we have. And we'll, continue to try to gain share at the local level. As it relates to oil in particular, Texas is often talked about as a potential risk. It is interesting when you look at the Texas market today versus, where it was last time there was a buzz, it's much less reliant on energy than it was before. And in fact I think I saw just recently last couple of weeks an economist who was estimating the economy is, well under 15% now reliant on energy generally. And so there are pockets like Houston from a metropolitan standpoint that is more reliant and I think that will likely impact that economy. But we go back to the point that we don't have a dominant market share anywhere across the country. And so when you have such small share in a highly fragmented market, our challenge to the team is irrespective of what's going on in the end markets, let's grow our share and get the business bigger.
Unidentified Analyst: Thank you.
Mitch Lewis: Sure.
Operator: [Operator Instructions] And we do have a follow-up question from Alan Weber with Robotti & Company.
Alan Weber: Hi. When you talk about some of the cultural changes and I guess you've been there about a year, you said. So can you talk about the impact it had on revenues at the local branches where the some of the changes actually you think might have indirectly created some of the reduced revenue due to more focus on margin and like that?
Mitch Lewis: Yes. I would say for sure when you compare to 2013 it did impacted our structural sales volume. So there was, in the second quarter of 2013, there is a real emphasis to grow share on commodity-based products. And so we didn't have that in 2014. We wanted to make sure that we were selling product that was incrementally profitable on a contribution margin basis. So we were not – we did not have a strategy in 2014 to just grow volume. But that I wouldn't say is a – was a local strategy change that was more of a contribution margin change and looking more closely at the potential profitability the products were least sold. In addition, there was a strategy that turned out to be a timing problem in 2013 where we beefed up on our inventory levels for short-term products that we had to move-off of. And in doing that from a comparative basis when you look at 2014, the comparative, the comparison obviously is hurt by the incremental volume that we had in 2013. So generally, I would say yes looking at product opportunities from a profitability standpoint compared to 2013, we did so less in 2014, but the fundamental cultural shift that we have in the company is not negatively impacting nor should it negatively impact our top-line growth.
Alan Weber: And it is now – if I understood correctly is it now at the local level of the General Manager actually had – is it a real-time understanding of his gross margin and what products are profitable compared to where it was previously?
Mitch Lewis: Yes. So there was – there were – there was good, there is great information that we have at BlueLinx. And they are really fantastic information systems. And so there has always been excellent data and information that a General Manager has related to gross margin, there has not been great data relative to contribution margins. So we've kind of missed the cost to serve piece of that over last couple of years. So that's a change that they have much better information and data than they had historically. The second piece of it, is that there were decisions that were made by the executive team to get into products or whether it was grow share or pricing that were pushed down to the organization that might make a lot of sense in certain territories within the company, but don't make sense in other areas. So that's a shift as well. I mean we're being much more collaborative quickly with our General Managers to make sure that any decisions or opportunities that we get and we can take advantage of – from economies of scale are fully supported at the local level.
Alan Weber: Okay. And my final question was, I asked early about the EBITDA and interest and you don't want to give projections. I mean at the current level of housing starts, can you, I mean how do you see things over time? Can you improve the gross margins and gain market share to get to the point where EBITDA can exceed the interest, would you need an improvement in the overall end-market?
Mitch Lewis: So let me answer that in two ways. The improvement in the overall end market, I know we have data on – well, I think you can see at our Web site that shows generally, we estimate that for every 100,000 incremental single-family housing starts that it drops approximately $22 million in EBITDA to the bottom-line. And so obviously, if the end markets – I should say when the end markets recover, we feel real-good about the prospects for the company. The second piece and we talk about this a lot internally is, an incremental gross margin of 1% to the company on our scale is very important. And so there are opportunities to do that and a lot of those opportunities also are implied within the cost to serve, where we need to make sure that we're getting value for the service that we provide and there are lots of opportunities to do that. So in addition to the operational savings that we've talked about, the efficiency that we've talked about to share growth that we expect, irrespective of what happens with the end markets, our [choice] [ph] is to make darn sure that we improve the performance of this business that we cover, certainly cover our cost of capital going forward irrespective of what the end markets do.
Alan Weber: I appreciate the answer. And that $22 million EBITDA relative on a 100,000 incremental housing starts is that based upon the historical value-add, was that kind of the way you think you position today?
A - Susan O: No. So we looked at our historical data going back gosh – more than seven years looking at how our business has performed because we're closely correlated to housing starts. I would say a little bit different in 2013, because of what Mitch described was just going after our growing market share not necessarily in a profitable way. So I would there was a decoupling in that year. But in general, we have used historical data and looked at current run rates. And that's the information that we have on our Web site that you can look at.
Farrell: No. So we looked at our historical data going back gosh – more than seven years looking at how our business has performed because we're closely correlated to housing starts. I would say a little bit different in 2013, because of what Mitch described was just going after our growing market share not necessarily in a profitable way. So I would there was a decoupling in that year. But in general, we have used historical data and looked at current run rates. And that's the information that we have on our Web site that you can look at.
Alan Weber: Okay, great. I guess though actually with the improvements you are making one would hope that actually if you got that kind of rebound in the end-market, you could do better than $22 million.
Mitch Lewis: The $22 million was looking at a historical basis. And so if we are improving the performance of the business, if you want to make an assumption that as demand increases suppliers including really have an opportunity to expand margins then that would be accurate.
Alan Weber: All right. Okay, great. Thank you very much.
A - Susan O: Thank you, Alan.
Farrell: Thank you, Alan.
Operator: [Operator Instructions] And we have no other questions in queue at this time.
Mitch Lewis: Okay. Thank you, Jennifer. And thanks for your time today and of course your continued interest in BlueLinx. And we look forward to sharing our progress with you in the months ahead.
Susan O: Thank you.
Farrell: Thank you.